Executives: Karen E. McCarthy - Director of Investor Relations Gordon M. Nixon - Chief Executive Officer, President and Not Independent Director Morten N. Friis - Member of Advisory Board Janice R. Fukakusa - Chief Administrative Officer and Chief Financial Officer David I. McKay - Group Head of Personal & Commercial Banking M. George Lewis - Group Head Mark A. Standish - Co-Group Head of Capital Markets and Investor & Treasury Services Doug Guzman - Managing Director and Head of Global Investment Banking
Analysts: John Aiken - Barclays Capital, Research Division Robert Sedran - CIBC World Markets Inc., Research Division Peter D. Routledge - National Bank Financial, Inc., Research Division John Reucassel - BMO Capital Markets Canada Michael Goldberg - Desjardins Securities Inc., Research Division Stefan R. Nedialkov - Citigroup Inc, Research Division Mario Mendonca - Canaccord Genuity, Research Division Gabriel Dechaine - Crédit Suisse AG, Research Division Sumit Malhotra - Macquarie Research
Operator: Good morning, ladies and gentlemen, welcome to the RBC 2013 Second Quarter Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Ms. Karen McCarthy, Director of Investor Relations. Please go ahead, Ms. McCarthy.
Karen E. McCarthy: Good morning, and thank you for joining us. Presenting to you this morning are Gord Nixon, President and CEO; Morten Friis, Chief Risk Officer; and Janice Fukakusa, Chief Administrative Officer and CFO. Following their comments, we will open the call for questions from analysts. The call is 1 hour long and will end at 9:30 a.m. [Operator Instructions] Joining us for your questions are George Lewis, Group Head, Wealth Management and Insurance; Doug McGregor, Chairman and co-CEO, Capital Markets and co-Head of Investor and Treasury Services; Dave McKay, Group Head, Personal and Commercial Banking; Mark Standish, President and co-CEO, Capital Markets and co-Head of Investor and Treasury Services; and Zabeen Hirji, Chief Human Resources Officer. As noted on Slide 2, our comments may contain forward-looking statements, which will involve applying assumptions and have inherent risks and uncertainties. Actual results could differ materially from these statements. I will now turn the call over to Gord Nixon.
Gordon M. Nixon: Thank you, Karen, and good morning, everyone. I'm pleased to announce that RBC earned $1.9 billion in the second quarter, up 26% from last year. Excluding certain items pertaining to our acquisition and the integration of RBC Investor Services, which Janice will expand on in her remarks, our earnings were approximately $2 billion, up 13% from last year, and excluding amortization of intangibles, earnings per share were $1.31. We had solid earnings growth compared to last year across all of our business segments with Canadian Banking and our corporate and investment banking and asset management businesses being particularly strong, but I would emphasize that all of our businesses were up. Year to date, RBC earned -- has earned just over $4 billion, delivering return on equity of 19.1%. Our all-in common Tier 1 equity remained strong at 9.1%, and that's notwithstanding the 45-basis-point reduction as a result of Ally. That strong ratio gives us flexibility in deploying our capital as we strive for the optimal balance between investing in our businesses for longer-term growth and returning capital to our shareholders through dividends and share buybacks, which we started this past quarter and as well as pursuing acquisitions like Ally. The strength and complementary nature of our diversified business continues to contribute to our earning power. Even as the Canadian Banking industry is facing slower growth, we remain confident in our ability to successfully execute on our strategy, extend our leadership position and invest for long-term growth. In fact, during the quarter, we were recognized by Bloomberg in their annual list of the world's strongest banks. RBC was ranked the fourth strongest bank in the world, up 2 spots from last year. Let me now turn to our business segments. Personal & Commercial Banking had a strong quarter with earnings of $1.1 billion. Our momentum in Canadian Banking continues. Each of our businesses had solid volume growth compared to last year as we continue to leverage our size and scale to take a disproportionate share of industry growth while profitably gaining market share. And our integration of Ally is well underway. We are seeing good progress as we have retained over 95% of commercial clients since closing this deal and our pipeline remains strong. These results reflect our ability to meet our customer needs with a superior advise, convenient service and value for money even as market dynamics shift. As we bring our advice and solutions to our clients precisely when and where they need them most, we remain focused on innovations through new partnerships, online features and mobile applications. As an example, we recently partnered with Bell to provide secure integrated mobile payment solutions for both debit and credit transactions and with McDonald's, Moneris and BlackBerry to deliver the first Canadian mobile debit transaction using mobile Interac Flash. We expect both of these applications to be rolled out more broadly by the end of the year. I'm also pleased to note that our innovative approach to meeting our clients' needs was recognized recently by Retail Banker International as we took the top spot for the first time in the highly competitive -- innovative -- Innovation in Customer Service category. And for the second consecutive year, we're awarded Best Retail Bank in North America in recognition of the strength of our Canadian Banking operations, including the size, scale of our distribution network and breadth and quality of our product offerings. In Caribbean banking, while our performance improved this quarter, reflecting some signs of stabilization in credit quality, results do continue to reflect the prolonged weak economic conditions in the region. Turning to Wealth Management. We continue to see good momentum in both our Global Asset Management and Wealth Management businesses across most of our regions, and we delivered another solid quarter of earnings. In Global Asset Management, we remain the leader in mutual fund sales in Canada, capturing 23% of the market, and net flows strengthened in Canada, the U.S. and BlueBay, which benefited our institutional asset management business. RBC Wealth Management continued to gain market share and as the largest full-service wealth manager, asset manager, mutual fund provider in Canada, remained the clear leader. We ranked first among bank-owned brokerage firms in Canada in Investment Executive's Brokerage Report Card, and we're recognized in Canada for Best Private Banking Services overall by Euromoney. In the U.S., we continue to make good progress on increasing advisor productivity and efficiency to capitalize on improving market conditions. We were ranked the highest in investor satisfaction among all full-service brokerage firms according to J.D. Power and Associates. Internationally, we continue to expand our high and ultrahigh net worth market share and leverage our capabilities to win more business. Moving to Insurance. We had another solid quarter of earnings, and this business continues to make consistent contributions to our diversified earnings stream. In Investor & Treasury Services, we continue to make solid progress towards integrating RBC Investor Services and strengthening the business model to adapt to the changing operating environment. While we continue to improve our efficiency and streamline our operations, we are also leveraging our reputation, brand and financial strength to win new clients and business. Our commitment to delivering superior service to our clients was once again recognized by the R&M Global Custody.net Survey where we recently won Best Overall Custodian for the third year in a row. We also retained our title as Fund Administrator of the Year in Canada as part of the 2013 Custody Risk Americas Award. Moving to Capital Markets. We continue to see strength in our corporate and investment banking business as we remain focused on origination-led and client-based lending and fee-based activities in our target sector and geographies. Our diversification is key strength and reflects what we believe is the right balance of business and geographies to derive growth while managing risk. Our U.S. business now generates significantly more revenue than our Canadian business, and we continue to focus on building client relationships and increasing our market share. Our solid results in that market are helping offset the impact of the prolonged recession affecting many European countries, as well as some softness in commodity markets in Canada. As an example of our strong momentum in the U.S., RBC acted as lead financial and technical advisor to SandRidge Energy, a U.S.-based oil and gas E&P company on the sale of its assets in the Permian Basin to U.S.-based Sheridan Production Partners for $2.6 billion. This transaction represented the largest single onshore conventional oil divestiture in the past 10 years. As part of this transaction, we also acted as lead arranger and joint book runner on the $1.7 billion 5-year senior secured revolving credit facilities used to fund Sheridan's acquisition of SandRidge. Turning to global markets, while we have shifted the balance from trading to more lending and traditional investment banking and continue to realign our fixed income and global equities business to a more originated-led model, results can be impacted by changing markets, new regulations and slowing economies. While our second quarter results are typically lower than the seasonally adjusted strong first quarter results, trading was particularly soft in the latter part of the quarter due to persistent weakness, particularly in Europe, and a reduction in market volatility and some emerging regulatory reforms. But we have started to see trading volumes tick back up in May, and we seem to be off to a good start. We remain focused on our originate and to distribute model and increasing our relevance to both issuing and investing clients to produce sustainable, fee-driven income streams. We're happy with our progress thus far. We've increased our global fee market share for our debt Capital Markets business by 38% from last year according to Dealogic, and we have increased the number of book run deals in North America by 23% in the last 6 months. To conclude, our results this quarter demonstrate our ability to extend our leadership position by successfully executing our strategic initiatives and making focused investments that deliver long-term shareholder value. Looking ahead at the remainder of 2013, the industry will continue to face some economic and regulatory headwinds. However, we do remain confident in our ability to deliver solid results, and we are on track to meet our financial objectives. With that, I'll turn it over to Morten.
Morten N. Friis: Thank you, Gord. Starting with credit on Slide 7. Overall credit quality improved compared to the prior year and prior quarter. Provisions for credit losses on impaired loans were $288 million this quarter, down $61 million over last quarter or 6 basis points to 29 basis points. The main driver of this decrease was lower provisions in Capital Markets where provisions were $40 million or 31 basis points, down $6 to $9 million compared to the prior quarter. Provisions this quarter related to a couple of accounts within the technology and media sector. Loan loss provisions within our wholesale portfolio should be expected to show some degree of variability from period to period with this quarter's provisions falling at the better end of the range. Overall, we remain comfortable with the quality of the wholesale loan book. With respect to Canadian Banking, provisions were $234 million, up $21 million over last quarter or 3 basis points to 29 basis points. We continue to see stable performance in our retail portfolios, with provisions on residential mortgages of 2 basis points and 279 basis points for cards. Provisions on our commercial portfolio were up slightly this quarter at 33 basis points. Overall provisions of 29 basis points in our Canadian Banking portfolio remain near historic lows, reflecting very strong credit performance across all products. In the Caribbean, provisions on impaired loans were $19 million, down from the prior quarter, which we believe represents the sustainable level of loan losses for this portfolio. Conditions on the Caribbean remain challenging, and achieving ongoing stability and asset quality will depend on improving economic conditions in the region. With respect to gross impaired loans, new formations increased slightly over last quarter but remain within our historical range. Turning to market risk. Value-at-risk was $42 million and average stressed VaR was $84 million, both in similar levels to last quarter. During the period, we had 3 days with net trading losses, totaling $5 million, none of which exceeded market VaR with the largest loss of $2 million driven by RBC's credit spread tightening. With that, I'll turn the presentation over to Janice.
Janice R. Fukakusa: Thanks, Morten, and good morning. Turning to Slide 10. We had a strong second quarter with earnings of approximately $1.9 billion. Excluding the restructuring charge in the current period related to the integration of Investor Services and the loss in the prior year related to the acquisition of the remaining 50% interest in that business, earnings were close to $2 billion, up 13% over last year. Overall, it was a clean quarter, and as Gord mentioned, we had solid earnings growth in each of our business segments with particular strength in Canadian Banking, as well as our corporate and investment banking and asset management businesses. Turning to capital, our capital discussion on Slide 11. As you know, RBC, along with 5 other big Canadian banks, was designated a domestic systemically important bank by OSFI. As a result, we're required to maintain 100-basis-point capital buffer on top of the Basel III minimum common equity Tier 1 ratio of 7% by 2016. At 9.1%, our common equity Tier 1 ratio remains comfortably above the 8% combined requirement. Our Ally acquisition, which closed February 1, negatively impacted our ratio by 45 basis points. As well, we began repurchasing shares this quarter under our normal course issuer bid. Turning to the performance of our business segments, starting on Slide 12. Personal & Commercial Banking earned over $1 billion for the fourth consecutive quarter, up $117 million or 12% from last year, reflecting 9% volume growth in Canadian Banking, with growth across all of our businesses and particular strength in personal lending. Net income decreased $63 million or 6% sequentially, largely due to the negative impact of seasonal factors, including fewer days in the quarter. Turning to our Canadian business. Margins in Canadian Banking were down 5 basis points from last quarter due to lower spreads, reflecting the continued low interest rate environment and competitive pressures, particularly in business lending. The Ally Canada acquisition negatively impacted our margins by approximately 1 basis point, primarily due to cost associated with the unwind of the deposit. We also experienced some accounting volatility this quarter, which negatively impacted our margins by approximately 2 basis points. Of the 5-basis-point decline, about half is not recurring. As I mentioned on our last quarterly call, we expect margins to remain under pressure for the remainder of 2013 given the interest rate environment, slowing consumer lending and competitive pressures. Let me briefly comment on Ally Canada. Ally contributed earnings of $12 million this quarter or $24 million when you exclude the $12 million of integration cost and amortization of intangibles. Integration of the business is proceeding well, and we continue to expect that it will generate earnings of around $120 million on a standalone basis, excluding integration activities within the first 12 months after closing. Our reported operating leverage and efficiency ratio were 0.7% and 45%, respectively. Excluding the impact of the Ally Canada acquisition, our operating leverage was 1.8%, driven by solid revenue growth and continued benefits from our cost initiatives. On the same basis, our efficiency ratio was 44.6%, down 70 basis points from last year, and we remain committed to driving the ratio down to the low 40s in the medium term. Turning to Wealth Management on Slide 13. Net income was $225 million, up $13 million or 6% from last year due to higher average fee-based client assets resulting from net sales and capital appreciation and improved transaction volume. Sequentially, net income was down $8 million or 3% as higher average fee-based client assets this quarter were more than offset by the seasonality of performance fees earned in the first quarter. As a reminder, we typically recognize performance fees in the first and third quarter. Moving to Insurance on Slide 14. Net income of $166 million was up $15 million or 10% over last year, driven primarily by a favorable change in actuarial adjustments, investment gains and favorable life experience. Compared to the prior quarter, results were relatively flat. Turning to Investor & Treasury Services on Slide 15. Earnings were $67 million this quarter compared to a net loss of $121 million a year ago. Excluding the restructuring charge in the current quarter related to the integration of Investor Services, primarily in Europe, and the related acquisition loss in the prior year, as noted on Slide 15, earnings were $98 million, an increase of 21% over last year and were up 23% over last quarter. Earnings grew over both periods, reflecting improved results in Investor Services as we benefited from ongoing cost management activities, higher foreign exchange revenue and higher fee-based client assets. Our results were partially offset by lower funding and liquidity revenue. As Gord mentioned, our Investor Services integration efforts are well underway, and as the majority of our integration cost occurs this quarter, we anticipate these costes to decline for the remainder of 2013. Turning to Capital Markets on Slide 16. Earnings of $386 million were up $15 million or 4% from last year, driven by strong growth in our corporate and investment banking businesses, particularly in loan syndication and lending in the U.S. This strong performance was largely offset by lower fixed income trading in Europe, particularly in the latter part of the quarter, driven by challenging market conditions. Compared to last quarter, net income was down $78 million or 17%, mainly due to lower fixed income trading results driven by challenging market conditions and a seasonally strong first quarter. While our corporate and investment banking results were solid, they were not as strong as the robust levels we saw last quarter when we closed a number of large M&A and loan syndication deals. To wrap up, we're very pleased with our performance this quarter. Every business segment grew earnings compared to last year, demonstrating the continued strength of our diversified business model. At this point, I'll turn the call over to the operator to begin Q&A. Please limit yourself to one question and then re-queue so that everyone has an opportunity to participate. Operator?
Operator: [Operator Instructions] The first question is from John Aiken of Barclays.
John Aiken - Barclays Capital, Research Division: Janice, a couple of quick questions on the Personal & Commercial margins. Can you give us a little more context about the accounting volatility that you mentioned? And in the Caribbean, can you give us some flavor as to what's going on with the margin compression there? It looks to be a little -- fairly significant in this quarter. And should we look at that in context with the improving provision for credit losses coming out of the region?
Janice R. Fukakusa: I'll first address the margins in Canadian Banking. The accounting volatility that we're talking about is on cash flow hedging. And it's basically with respect to our mortgage book. It is basis risk that we were exposed to, and going forward, we don't see that happening. So it was a onetime adjustment that we have. When you look at the issue with respect to Ally, it is about the deposits and some of the high cost deposits and the wind down of that business. So when you look at what we're looking at in terms of margin compression, we've always signaled that there would be around a 2-basis-point compression as we went through the year because of what was happening with interest rates. So I think that we are on where we thought we would be with respect to the margins.
David I. McKay: John, it's, Dave, on the Caribbean, you're seeing a similar core impact on the lower rate environment in the Caribbean with the struggling economies and the interest rate environment and the rollover of our loans into lower yielding -- lower yields in general. So a very similar type of impact in the Caribbean right now.
John Aiken - Barclays Capital, Research Division: Dave, in the Caribbean though, are you -- when you're rolling over those loans, as we're seeing the provisions decline, are you moving back on the risk? Or is this purely just the environment in terms of low risk environment and what you actually can charge in the region?
David I. McKay: That's a great question. I would say yes, we are moving back on the risk as we've cleaned up our book and taken charges over the last 4 to 6 quarters as you've seen. Certainly, our risk appetite is one of caution on the commercial side given the challenges in the economies right now.
Operator: The next question is from Robert Sedran of CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: I guess it's question for Morten. We've seen credit card loss rates at some of your competitors this quarter actually come down albeit from higher levels, and I'm wondering if the increase in your credit card loss rate this quarter is just related to seasonality. And perhaps if you can, what your thoughts are about the direction of these loss rates overall. Are we basically at trough levels and are just going to bounce around a little bit? Or is there some kind of trends still taking place?
Morten N. Friis: I'll start and Dave may want to fill in. There is a seasonal feature to this, but I guess from a risk management perspective, I would say that having the cards portfolio perform at loss rates below 300 basis points is a good place to be in this part of the cycle. And I would say -- so seeing the levels, the 279 basis points, while it's up a bit from last quarter, it still reflects very strong performance. And I would not -- I would see it bouncing around at those levels if the economic conditions remain where they are.
David I. McKay: All I would add is that we have very strong origination growth. So normally, cards exhibit a little bit higher rate their first year they're on the books, that first year advantage. So a little bit of the strong acquisition trend we're on. But as Morten said, the absolute rates of the card portfolio given the yields are in the 11%, 12% is a very, very profitable place to be. So no concerns there whatsoever.
Operator: The next question is from Peter Routledge of National Bank Financial.
Peter D. Routledge - National Bank Financial, Inc., Research Division: A quick question for starters on Page 22. You gave the average LTV of 47%. I'll make an assumption that, that is an average LTV weighted by property value. And one of your peers disclosed the LTV if it was weighted by mortgage balance. And it's quite a bit higher when you weight it by mortgage balance at least for one of your peers. Would it be 5 to 10 percentage points higher if you weight it by mortgage balance?
Janice R. Fukakusa: Yes. Peter, it's Janice speaking. We'll have to go back and confirm that particular metric. We'll try to get some information during the call, so why don't we get back to you on that.
Peter D. Routledge - National Bank Financial, Inc., Research Division: No problem. And just on mortgages, there's been a lot of rhetoric about put-back risk in some corners, and the risk being there would be systemic put-backs by CMHC to the banks, and therefore, you'd have higher mortgage losses than historic norms. And the trigger often cited is just faulty appraisals. Is there any reason to think that there is a systemic issue with appraisals that might redound on the banks in the form of the CMHC refusing claims? I mean, do you -- how likely an outcome is that?
David I. McKay: Well, one, most of the banks, including ourselves, use the Emily appraisal service, which is CMHC's own appraisal as they would do their own due diligence with Emily. So I don't think it will be the nature of the appraisal service. I think where operational risk evolves is the representation of the facts. So if they were to go back to the loan application and find that the facts on income or on rental versus costs -- other costs are different than what was presented during the adjudication process, then I think you have technically an opportunity to negate the claim. But I don't think it's just on how you use appraisal. It's really the adjudication process that would create most of the operating risk, which is why our bank include -- I'm assuming most others are very careful about our facts that are being submitted and how we put those applications together.
Peter D. Routledge - National Bank Financial, Inc., Research Division: And just on...
David I. McKay: I would just reiterate, I think that in summary, that the likelihood of that is almost nonexistent.
Peter D. Routledge - National Bank Financial, Inc., Research Division: And just to clarify, the Emily system, that's a technology service that CMHC generates revenue from, right?
Gordon M. Nixon: Right, right. But I would assume they use for their own appraisals. They make their own adjudication decisions themselves.
Morten N. Friis: But just -- Peter, it's Morten. Just in terms of the use of Emily, I mean, it is one of several tools that we use, and depending on the property we have, full appraisal or -- that we -- so Emily is a supplemental tool that we use in the appraisal process. I mean, to reiterate Dave's point, the risk around refusal on the insurance all relates to the accuracy of the documentation that we provide. We have ongoing audits and reviews with CMHC, and our track record with them is extremely strong. So the point on the risk of put-back here, first of all, would be completely inconsistent with our historical experience with them. And as Gord is saying, I think it's an extreme tail risk where they, obviously, as an insurer, have some ability to dispute claims. But I think our track record on accurate documentation is pretty strong.
Operator: The next question is from John Reucassel of BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: A question for Mark just on trading. Gord mentioned that trading has picked up since quarter end. Could you just give us some flavor on is that because volatilities picked up? Were you missing some of your client flow or is client flow picking up? And then just on the regulatory issues in Europe, do you expect Europe to respond to kind of the U.S. has imposed stricter rules on foreign subs? If so, is it prudent to expect that? If not, why not? And how does that impact Royal's European business there?
Gordon M. Nixon: John, I'll handle the market question first. I'd refer you to Page 33 of the report to shareholders where you can see the revenue and VaR chart and you can see that the second half of the quarter was very quiet indeed. As we mentioned, Europe was extremely quiet. We basically didn't make any money there, but also, the rates business in the U.S. was also quite quiet. One of the reasons for that is we had the U.S. tenure down at 1.63%. And when down, there was very little secondary activity. On the positive side, however, we did see very good debt capital markets, DCM, activity. Corporate bond issuance in the U.S. now accounts for about 45% of our global DCM revenue. 2 years ago, it would have been 25%. Now what's different with that than usual is at such low rates, we were advising clients to issue fixed debt and not to swap back to floating. So we didn't get that additional secondary -- a lot of that additional secondary flow activity that we would normally see. Now coming into May, as Gord mentioned, we've had a pickup in volatility in rates. We've had a 60-basis-point increase in tenure U.S. governments. We've had a lot of volatility in other markets, Japan in particular. So we're now we've seen certainly a pickup in secondary flow. Other products performed quite well through the quarter. Foreign exchange, credit and municipal products performed quite well. And I think as Gord said, May is off to a fairly strong start. In terms of the European question?
David I. McKay: Yes, I mean, it's hard to know which is the chicken and which is the egg. I mean, the U.K. was the first to introduce Vickers, which was their form of ring fencing, and obviously now with the potential legislation with respect to FBO in the United States, you're seeing some of that, obviously, in the U.S. I think from our perspective, we would be more focused on how the U.S. is going to unfold rather than U.K. I don't think it will have much of an impact or much change with respect to the U.K. and certainly the nature of our operations in the U.K. because it's primarily Capital Markets and Wealth Management. So to answer your question specifically with respect to U.K., we don't think it will have much of an impact, but we're obviously watching the U.S. very closely in terms of how the rules may unfold with respect to subsidiary regulation in the United States. And we're quite comfortable in terms of our ability to manage that, as we've said in past quarters, but it will obviously have an impact on structure.
Gordon M. Nixon: But John, it is definitely weighing on activity levels in Europe, all of these regulatory uncertainty, and now you can add to that given the results in the U.K. and the strength of UKIP, with respect to exiting Europe for the U.K. that added uncertainty and that it's -- that the market has to deal with. And it's probably not going to improve much in the short term either.
Operator: The next question is from Michael Goldberg of Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: I want to follow up on a question I had last quarter, and that is -- relates to Ally. At the end of January, the personal demand and notice deposits in ResMor were just under $1.6 billion. And the latest number is about $630 million. So you've lost about 60% of those deposits. My question is why didn't you just sell the deposit business? I know this isn't a significant -- these numbers aren't significant, but it would seem to me that getting something would have been better than getting nothing.
David I. McKay: Yes, it's Dave here. The piece that you're not seeing is that we've been able to retain a significant number -- amount of those deposits in our traditional business. So while those high-interest savings accounts migrated from 180 basis points to 120, we were able to migrate many of those balances over to our own high-interest savings account. On the GIC side, we've been in the market with offers to our Ally clients, very attractive offers, and we retained significant margin of those clients. So we felt it was much more economical to retain that business in RBC products than to try to go through an extraction and sale of ResMor, which had been extremely costly, and our retention numbers bear that out.
Michael Goldberg - Desjardins Securities Inc., Research Division: So how much of that $900 million in the first 2 months would have moved over to RBC?
David I. McKay: We've retained, I would say, between 70% and 75% of total HISA and GIC balances. So as you look at those decline in balance, it takes 75% of the delta, and they would have moved over to RBC. And the additional benefit of this is we've had really broad conversations with those deposit customers, and we've been extremely successful in broadening our relationship on the investment side at the same time as we put our best investment retirement planners in front of that client base. And we've seen significant investment cross-sell in addition to retaining over 70% of the GIC and HISA balances. So overall, I think the strategy to retain that business through organic channels has been very, very good for us.
Operator: The next question is from Stefan Nedialkov of Citigroup.
Stefan R. Nedialkov - Citigroup Inc, Research Division: It's Stefan Nedialkov from Citi. I had a question on the Insurance business. It's quite a volatile P&L this quarter. It looks like investment income was quite strong, but of course, the disability benefits were much higher as well. Some of your peers are also taking charges for low interest rates. Could just give us a sense of how the P&L was likely to evolve over the rest of the year? Should we be expecting sort of high investment income being offset by -- being matched by higher benefits? Or is this really just a one-off type of performance?
Gordon M. Nixon: Janice, do you want to take that?
Janice R. Fukakusa: Right. So Stefan, why don't I, first of all, take you through some of the accounting where for us, the -- some of the life qualities that we have, we -- of course, we increased the revenue, and then the policyholder claim is the contra or offset. So those 2 lines, we actually look at them together and look at the net number. And George will take you through some of the business color, but there is that nuance on the Insurance business, and that's why when you look at our metrics, we're always seeing what a metric is without that in terms of revenue growth, and the policyholder benefits claims and acquisition, some of that reflects the policies that are owned [ph] by our policyholders where we pick up the volatilities or the mark in the revenue in the claims line. So I think that if you look at the [indiscernible] business going forward. So George, would like to talk about that?
M. George Lewis: Yes. And just to build on what Janice said, what you're seeing is actually from an earnings point of view and a net revenue point of view, really a lack of volatility [indiscernible] that Janice just outlined. And I think overall for the quarter, it was a fairly solid quarter and one that I think reflects the run rate from the business. The only thing I would point out from here going forward and the balance of the year is that we did not benefit in the first half in Insurance from any new U.K. annuity contracts, and that's the business where we take on longevity risk as pension plans are immunized. And that is a source of upside, I would say, for the second half beyond what you're seeing in the quarterly run rate in Q2.
Janice R. Fukakusa: And the one thing I would also add is with respect to interest rates, we spent a lot of time neutralizing the business over the past 7 or 8 years for the volatility of interest rates. So of course, lower interest rates will have an impact on the valuation of the liability, but we have put a lot of rigor around asset/liability management in Insurance, so you would have seen over the past few quarters where comparable insurance companies have had way more volatility than we have because of the rigor we put around managing our assets and liabilities. And we started that about 7 or 8 years ago.
Operator: The next question is from Mario Mendonca of Cannacord Genuity.
Mario Mendonca - Canaccord Genuity, Research Division: One quick question on the domestic. I want to make sure I understand what you meant by half of the deterioration and being nonrecurring. Does that mean that you get -- all things held constant, you can get a 2 -- call it, 2.5-basis-point lift in the NIM next quarter? Or you're just saying that, that just won't reoccur?
Janice R. Fukakusa: Yes, we're seeing -- Mario, it's Janice. We're saying that won't reoccur. So when you're measuring NIM, it depends on where you are quarter-over-quarter or year-over-year. But we are seeing that our expectation given the low interest rate environment is about a 1- to 2-basis-point decline per quarter as we move to the end of the year just because of our asset portfolios, of course, running off and the repricing that's occurred in the market, and it has to do with actual runoff and duration. So we've always signaled that, that would happen over the course of the year.
Mario Mendonca - Canaccord Genuity, Research Division: And just real quickly on the reference that you're making to the regulatory issues impacting your trading revenue, what message are you trying to send us that if everything were precisely the same next year as it is this year, and I know that's not really possible, but everything with the same except for the change in regulatory, like how much of your business would be impacted by the change in -- the regulatory changes?
Mark A. Standish: Well, I think you've got to look at that, Mario, by geography. In terms of Canada, which performed quite well in the quarter, it's steady as she goes. In terms of the U.S., while there is a lot of uncertainty, the only thing that really is looming for us is the Volcker rule, and we don't have the final rule to look at yet. So it is still tough to comment on that. So the question, I think, really comes back down to Europe, which is where we've struggled for some time now given the uncertainty from a credit perspective around sovereigns and not just corporates. I certainly think in the short term, we'll see some sort of improvement there. We've seen that as we come into May as volumes have picked up. But from a sort of a -- from a headline number perspective, I think what we've talked about in the past are still good. I think you'll just see more of it come from the U.S., and more of it's going to be linked to activity in debt Capital Markets and less of it coming from Europe. But the jury is still out in terms of what we've got to do going forward there.
Operator: The next question is from Gabriel Dechaine of Credit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: I also have a follow-up from last quarter. Mortgage risk rates in Canada, so you're the only bank that actually focuses on the mortgages. You don't lump in HELOCs in the exposure. But I estimate like for Canada, so I have to strip out the Caribbean mortgages, there's about 6% risk weighting on the Canadian uninsured mortgages. It's at odds with what Julie Dickson was saying about Canadian mortgage risk rates -- uninsured mortgage risk rates in the mid-teens. I'm wondering if you can shed some light on the discrepancies between what I'm seeing and what she's seeing perhaps. And then also in your commercial loan book in Canada, you've got $16.8 billion of real estate-related loans. The growth there has been pretty substantial like other banks. I'm just wondering if you can break down what components are in that $16.8 billion, REITs, commercial mortgages, development, apartment buildings, whatever?
Gordon M. Nixon: Doug, you go first.
Doug Guzman: Okay. So in terms of the mortgage activity, what we have been doing is we've been making some larger drawn loans against our [indiscernible] to primarily REIT customers where we're very active, we're the market leader there, and it's all against large office buildings and shopping centers for public REITs and some of the pension funds, for instance, OMERS. And so it's a concerted effort really to take reasonable loan-to-value certainly under 70% against high-quality properties at spreads that we find attractive.
Gabriel Dechaine - Crédit Suisse AG, Research Division: So most of that growth has been coming from REITs, which I -- I mean, I've seen your...
Gordon M. Nixon: And most of that is -- a lot of that is outside Canada.
Doug Guzman: Yes, yes, I mean, in terms of -- that's the Canadian book. In the U.S., we lend to about 50 REITs. We have a fairly significant real estate practice, which is ramping up quite nicely. We've got a full research capability. And so we have been lending again to the REITs and some of the private equity funds. Two that come to mind are Lone Star and Blackstone, which we think are probably the market leaders, and we've done significant business with both in the U.S. and Europe over the last 18 months.
Gabriel Dechaine - Crédit Suisse AG, Research Division: What's the $16.8 billion, like REITs versus other stuff? And maybe you can get back to me on that?
David I. McKay: It's, Gabriel, Dave. In Canada, our commercial real estate book on the P&CB is around $13 billion, and that is largely developer risk, high-rise condo, midrise condo, some single-family home. We've been doing that for decades, as you know. The growth in that portfolio is not disproportionate to the growth in the overall commercial portfolio of 9%. Some of the characteristics that we're seeing in the commercial real estate development side are longer time to get to presales, as you know, 80% presale. Some projects are slowing down. So in general, slowing but still relatively good demand on the developer side, but not disproportionate growth to the overall commercial portfolio.
Gabriel Dechaine - Crédit Suisse AG, Research Division: And on the mortgage risk rates?
Gordon M. Nixon: On the mortgage risk rates, we probably will need to get back to you on the detail. I mean, the average is 5%, which is heavily weighted by the fact that the predominate part of our book is in Canada. I mean, I can't comment on Julie Dickson's comments. But I mean, if you look at the loss rates in our supplementals, you will see that the loss rates suggest a risk weighting lower than what we have on the book. But on the details, we'll have to get back to you.
Gabriel Dechaine - Crédit Suisse AG, Research Division: It's a bit unfair to single you out because your peers actually lump in HELOCs, which make the risk rates look higher, and it's not a fair comparison. But anyway, if you could get back to me on this, that will be great.
Operator: [Operator Instructions] The next question is from Sumit Malhotra of Macquarie Capital markets.
Sumit Malhotra - Macquarie Research: Let's start in Canadian Banking for Dave Mackay. Your credit cards growth has been amongst the best in the industry over the last year. You've been one of the only bank that's actually been growing it. And this quarter, we saw a decent sized pullback of $400 million. Anything you can point to on that side, whether that was driven by customers or whether that was an initiative that the bank is looking at given consumer debt levels in Canada?
David I. McKay: It's Dave. No, we're very happy with the growth on our portfolio. It's a combination of the acquisition of the Shoppers Drug Mart portfolio from MBNA and good growth in that portfolio, very strong growth in our core platform such as Avion, good acquisition growth overall, which I referenced in earlier comments. So the growth is strong. The pullback is more seasonal than anything. You always see very strong growth in Q1 because purchase spend is high and then revolve rates go a little bit higher in Q1. So you see a bit of a seasonal pullback, but there is no change in risk strategy appetite or outlook. We are bullish on credit cards and spend. We're leading the market in spend. We have new product in the Target co-brand coming to market. It is in market now, and we have high hopes for that. So we're looking to this sector and its product to continue to drive our business, and it's the leading growth business that we have right now at 20% year-over-year. So we're very happy with our credit card business.
Sumit Malhotra - Macquarie Research: Yes, Dave, you're right. As I go a little bit further back in the file here, it seems to always dip from Q1 to Q2. And if I just stay with you on the same product, we were on another call an hour ago and there was a lot of talk about the future of the travel credit card market in Canada. At least from my seat, it seems like you're pretty well positioned if the particular products seem -- or would [indiscernible] competitive response as potentially one of the bigger competitors maybe changing hands.
David I. McKay: We do believe in the Avion product. We have the best product in the market. That's what customers are telling us. It is a very, very large portfolio. And with the WestJet co-brand product [indiscernible] will create customers to [indiscernible] point of significant opportunity for us to present our solutions to a large number of Canadians who might not consider them otherwise. So from that perspective, with Avion, WestJet and our co-brand portfolio [indiscernible].
Sumit Malhotra - Macquarie Research: [indiscernible] I'll leave it there. In your share repurchase program, you're approved for [indiscernible] is the level this quarter the amount you're comfortable using as a run rate? Or is there something we should expect the bank to step up given where capital your position is?
Janice R. Fukakusa: Sumit, it's Janice. We started the program later on in the quarter because we felt that we were at optimal capital levels. So we will continue to execute on the program. So it's a matter of timing last quarter because we didn't start until the third month of the quarter.
Gordon M. Nixon: We felt it was important to absorb the Ally capital.
Janice R. Fukakusa: Absolutely.
Gordon M. Nixon: Yes. And we've earned the bulk of that back now.
Janice R. Fukakusa: Yes.
Sumit Malhotra - Macquarie Research: I don't know where we are on the queue here, Janice. Is there time for one more or should I jump back in?
Gordon M. Nixon: I don't think there is a queue, so you better go.
Sumit Malhotra - Macquarie Research: Okay. So very quickly for George Lewis in Wealth Management. Kind of surprised to see Wealth revenue flat quarter-over-quarter on what looked like a month of -- or a quarter of very good sales in Canada and obviously a very strong market in the U.S. Particularly with your U.S. Wealth Management operations, I've always thought of those as being more transaction-oriented. So can you help us understand why revenue was basically unchanged sequentially despite what look liked some pretty good operating trends or operating backdrop?
M. George Lewis: Sumit, I think it's a couple of things to highlight. One would be it is a quarter with fewer days, and so our fee-based assets are done on that basis. So Q2 over Q1 might have. Canadian Banking is always a little bit down in terms of revenue. The second thing would be we did have performance revenues that Janice highlighted. In the first quarter, that's [indiscernible] occurred in the second quarter. So the underlying volume trends to your point are very encouraging. I mean, year-over-year, our assets -- AUM is up 15%. Our AUA is up 8%. So apart from those 2 factors influencing the quarter-over-quarter, we think we had -- I was very pleased with our revenue growth. And we're setting up, I think, for a much better year-over-year comparisons for the second half given the trends that we're seeing in the business.
Sumit Malhotra - Macquarie Research: So those performance is for BlueBay. I think it's mentioned in the literature that they get booked in Q1 and Q3. Are you in a position to tell us how much that added last quarter, so how much the sequential increase would have been x of that?
Gordon M. Nixon: What I can say is that they're recorded in the first and third quarters. The bulk of them are recorded in the first quarter, so Q3 is not as large an impact in terms of -- as it were in Q1. But it was a significant impact for our asset management business in the first quarter. Having said that, second quarter revenue continue to increase in that business as well.
Operator: [indiscernible]
Gordon M. Nixon: Thank you very much, operator. I'd like to thank everyone for joining us again on this call, and we look forward to presenting to you again next quarter. Have a good day.
Operator: The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.